Operator: Good morning, and welcome to the AdvanSix First Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Adam Kressel, Director of Investor Relations. Please go ahead.
Adam Kressel: Thank you, Anthony. Good morning and welcome to AdvanSix’s first quarter 2022 earnings conference call. With me here today are President and CEO, Erin Kane; and Senior Vice President and CFO, Michael Preston. This call and webcast, including any non-GAAP reconciliations, are available on our website at investors.advansix.com. Note that elements of this presentation contain forward-looking statements that are based on our best view of the world and of our business as we see it today. Those elements can change and the actual results could differ materially from those projected, and we ask that you consider them in that light. We refer you to the forward-looking statements included in our press release and earnings presentation. In addition, we identify the principal risks and uncertainties that affect our performance in our SEC filings, including our annual report on Form 10-K as further updated in subsequent filings with the SEC. This morning, we will review our financial results for the first quarter of 2022 and share our outlook for our key product lines and end markets. Finally, we’ll leave time for your questions at the end. So with that, I’ll turn the call over to AdvanSix’s President and CEO, Erin Kane.
Erin Kane: Thanks, Adam, and good morning, everyone. Thank you for joining us and for your continued interest in AdvanSix. As you saw in our press release, AdvanSix delivered robust first quarter performance to start 2022. I would like to thank our nearly 1,400 teammates who delivered outstanding results for one another, our customers and our shareholders. Our collective organization contributed to generating record sales, earnings and margins in the quarter. Across the various value chains we participate in, we continue to see rising input costs and industry supply tightness at a time when demand overall remains robust. Our integrated business model, including our unique competitive asset base, pricing mechanisms and leading customer positions across a diverse set of end uses and applications is core to our ability to execute and navigate in this environment. Across the board, it was a terrific start to the year as we sustain the momentum we've built. We also continue to enhance shareholder value creation as we deployed a significant amount of capital in the first quarter with a combination of our increased CapEx investments, acquisition of U.S. Amines, sustained dividend and opportunistic repurchase of approximately $7 million of shares. The acquisition of U.S. Amines was officially closed on February 24th, and I am proud to say that the integration is progressing well, and we are excited about the future opportunities for the combination of our businesses. As we look ahead, our outlook remains favorable. We continue to target significant earnings growth and robust cash flow in 2022, supported by disciplined execution to our integrated business model and expected robust ammonium sulfate fertilizer performance in particular. We cannot always predict what the markets will do. However, we are highly focused on executing our strategic priorities and what is in our control. We remain confident in our ability to deliver robust and sustainable performance and attractive shareholder returns over the long-term. With that, I'll turn it over to Mike to discuss the financial details.
Michael Preston: Great. Thanks, Erin, and good morning, everyone. I'm now on slide 4, where I'll highlight the first quarter 2022 financial results. Overall, strong execution and robust ammonium sulfate fertilizer performance supported record sales, earnings and margins. Sales totaled $479 million, up 27% compared to last year. Pricing was favorable by 29%, comprised primarily of higher market-based pricing, of which 26% was driven by higher pricing across our ammonium sulfate and now on product lines. To a lesser extent, raw material pass-through pricing contributed to 3% of top line growth, following a net cost increase in benzene and propylene. Acquisitions added approximately 2% to sales as well. Sales volume decreased approximately 4%, driven primarily by robust sales in the first quarter of 2021 as we reduced finished goods inventory in the prior year period to meet a recovery in customer demand amid very tight industry supply conditions. On a sequential basis, sales volume increased roughly 3% in the first quarter of 2022 versus the fourth quarter of 2021, and we expect further sequential improvement in sales volume into the second quarter. Adjusted EBITDA was $103 million, an increase of approximately 79% versus the prior year. I'll walk through the key year-over-year variances on the next slide. In addition, adjusted EBITDA margins were also a quarterly record at 21.5%. As a reminder, beginning this quarter, we are now reporting adjusted EBITDA and adjusted EPS, which excludes non-cash-based stock compensation, non-cash amortization from acquisitions and onetime M&A costs. Adjusted earnings per share of $2.26 more than doubled versus the prior year. And finally, free cash flow reached $28 million. That's down about $15 million compared to last year. Cash flow from operations declined roughly $8 million year-over-year with higher net income more than offset by unfavorable impact of changes in working capital and an approximately $12 million cash tax refund in the prior year period. CapEx of $21 million increased roughly $7 million year-over-year, reflecting timing of maintenance spend as we expected. Now let's turn to slide 5. Here, we highlight a few of the key drivers of our first quarter adjusted EBITDA performance year-over-year. Pricing of our raw materials was a $53 million tailwind as we drove value through strong commercial excellence. Tracking our key variable margin drivers, performance in ammonium sulfate on a net price over natural gas and sulfur basis, continued its positive trend year-over-year, reflecting the strong underlying ag environment as well as our ability to drive value -- above and beyond sharp increases in input costs. Caprolactam and nylon over benzene were up year-over-year as well, reflecting continued improvement in industry spreads supported by tight industry supply, while demand remained healthy, particularly in North America. Lastly, chemical intermediates reflected a continued moderation in acetone over propylene spreads compared to robust levels seen in the first half of 2021, as we expected. As a reminder, in the first quarter of 2021, we had an approximately $6.6 million unfavorable non-cash LIFO inventory reserve adjustment. That adjustment reflected the reduction in inventories from 2020 year-end, resulting in the expensing of higher cost inventory layers from prior years. Lastly, volume and other items were approximately $50 million unfavorable in the quarter. We saw increased plant spend, primarily driven by higher utilities costs as a result of sharp increases in natural gas prices, as well as lower sales volume versus the prior year. These items were partially offset by an approximately $2 million favorable benefit from planned plant turnarounds year-over-year and a modest contribution from the US Amines acquisition. Now let's turn to the next slide. On the left side of Page 6, we've once again highlighted the drivers of our first quarter 2022 free cash flow generation, which was supported by higher net income. Working capital was a roughly $39 million use of cash in the quarter. Accounts receivable represented approximately $28 million of that total, reflecting the 13% jump in sales compared to the fourth quarter of 2021 as well as sales that were more back-end loaded in the last month of the first quarter. This resulted in relatively low conversion of those sales into cash within the quarter. Given this, we expect our cash conversion to improve meaningfully in the second quarter. With respect to capital expenditures, our spend run rate has increased as expected, reflecting the timing of maintenance spend. Improved cash flow generation alongside robust earnings has enabled more flexibility to create value for our shareholders. On the right side of the page, we've highlighted the nearly $130 million of capital deployed in the first quarter, comprised of our organic CapEx investments of $21 million, acquisition of U.S. Amines for an estimated net purchase price of approximately $98 million and over $10 million of cash returned to shareholders through roughly $7 million of share repurchases and $3.5 million of dividends paid. We intend to sustain and grow the dividend over time and declared today our second quarter of 2022 dividend of $0.125 per share payable on May 31 to stockholders of record as of May 17. Our balance sheet is in a healthy position with net debt leverage below 1, and we are continuing to execute a disciplined and balanced capital allocation strategy that we believe is a value enhancer to our core strategies and a focus to support attractive total shareholder returns. So with that, let me turn the call back to Erin.
Erin Kane : Thanks, Mike. I'm now on Slide 7 to discuss each of our product lines. Starting with nylon. We've seen price roll spread further improving into 2022 on a year-over-year basis, with notable strength in North America and Europe, which has continued into the second quarter. There was a sequential moderation from the fourth quarter of 2021, particularly in China and the rest of Asia. Now the global cost curve has remained steep in this current energy environment with input costs continuing to rise, supporting spreads relatively in line with marginal producer economics. In North America, where we primarily participate, we have seen pricing and spreads fare better regionally as reflected in the global composites seen on the chart here, outperforming the Asia benchmarks. The North American market continues to be characterized by healthy end market demand and slug industry supply conditions. Recovery in commercial construction continues where nylon carpet has a strong presence, and we've seen packaging demand remain steady. Demand for engineered plastics resins remains resilient as well. While we have seen more impact from material shortages of glass fiber and additives through the auto compounding value chain, with supply remaining tight for the industry, we remain well positioned to support our customers in the current set of market dynamics. Moving to ammonium sulfate. We continue to see strong underlying ag fundamentals and higher energy costs support significant increases in fertilizer pricing year-over-year. As you can see from the chart, urea pricing has been more dynamic relative to ammonium sulfate, which is often the case. We saw ammonium sulfate sequential price improvement in the first quarter at the high end of the long-term range, commensurate with our typical in-season progression and supported by the most favorable conditions we have seen in over a decade. We continue to expect strong ammonium sulfate performance during the season peak in the second quarter. However, we are experiencing a wet and cool weather delay to the start of the US spring season, which does have implications for timing of application demand. And lastly, turning to chemical intermediates, industry realized acetone prices over refinery grade propylene costs declined year-over-year as expected, on continued balancing of acetone supply and demand. However, they do remain at healthy levels relative to prior years. Pricing in the small, medium buyer market, which is reflective of roughly one-third of the domestic industry, also moderated sequentially in the first quarter of 2022 compared to the fourth quarter of 2021. While this was expected, we did see a slight lag in this pricing relative to the large buyer on the back of sharp increases in propylene costs through the end of the first quarter. Looking forward, with significant downstream MMA turnarounds now complete, we are seeing acetone industry prices increase into the second quarter and more closely tracking the rise in input costs. We expect healthy demand to continue for our full intermediate product portfolio. We serve a diverse set of end markets and customers across building construction, auto paints and coatings, solvents agrochemicals, electronics and pharmaceuticals, among others. Let's turn to slide 8 to discuss further the ag and fertilizer environment. As we have highlighted, the ag and fertilizer sector has undergone the most significant change and improvement over the last year. We thought it would be helpful to frame some of the considerations that are impacting the environment today as well as the implications beyond this year's planting season. First, to set some background of our own plant nutrients business, this is a space that we know well and see as an opportunity for continued growth. Today, ammonium salt represents more than 30% of our total company revenues and more than 50% of our total sales volume. Our Hopewell facility is the world's largest single-site producer of ammonium sulfate. So it is a meaningful part of our diverse portfolio, driving significant value. Roughly 75% of our ammonium sulfate sales are here in the US, the remaining 25% into export markets as we serve customers year-round in both the Northern and Southern Hemisphere planting seasons. Now demand for software nutrition has been growing about 3% per annum and ammonium soft late has proven to deliver pound per pound the most readily available sulfur and nitrogen to a wide work of crops, including corn, wheat and cotton among others. With sulfur demand remaining robust as a key nutrient supporting crop yields, we have dedicated sales and marketing resources as well as the granular grade and staff supporting our farming communities, while driving the software nutrition value proposition down the value chain. Through operational improvements and enhancements in crystallizer technology, we are producing today more high-quality granular grade ammonium sulfate than ever before to meet the growing demand of our customers. As of last year, we increased our targeted granular conversion to approximately 65% of its premium grade product. And we've been investing inorganically to expand our presence in agrochemicals, supporting crop protection through our acquisitions of CIS, which expands our offerings to directly supply packaged AS into spray grade adjuvant applications as well as US amines whose products are used in a wide range of applications, including as an important intermediate for the chemical synthesis of herbicides. So overall, this is a core and growing product portfolio within our business. Turning to the industry. We have seen a number of key ag indicators continue to trend favorably. With key crop prices at multiyear highs and essentially doubling in the last nine months, corn futures near $8 per bushel and cotton prices hovering around $1.50 per pound, just to name a few, farmer economics remain positive. Recent University of Illinois estimates indicated farmer profitability for both corn and soybeans to remain healthy despite sharp increases in input costs. Stock-to-use ratios for grains have also continued to come down with USDA projecting US corn ending stocks to be below 10% of total use for the end of this planting season, which is just marginally higher than the multiyear lows seen in 2021. These considerations together support the continued need for robust acres to be planted next season. The favorable demand fundamentals now committed time where overall nitrogen fertilizer supply has remained tight and raw material input costs have escalated, supporting fertilizer pricing that has reached record levels. Natural gas and therefore, ammonia as well as sulfur prices have substantially moved higher and steepened the industry cost curve through 2021 and now into 2022. Both natural gas pricing and availability have also constrained production in Europe. Supply constraints globally further include export limitations and restrictions in various regions such as Russia and China. So overall, the elevated energy environment, which has kept marginal producer costs high, coupled with lower global grain stocks and higher future crop prices constructively support increased planted acres as well as higher fertilizer demand and pricing going forward. Now let's turn to slide 9. Our outlook for 2022 remains consistent to what we have shared previously. We are targeting significant year-over-year earnings growth on top of an outstanding year in 2021. As we continue to drive superior operational excellence and differentiated product growth, progressive sustainability initiatives and maintain strong and disciplined capital stewardship. Demand is expected to remain healthy across our nylon and chemical intermediate product lines, and we are in the midst of the strongest fertilizer environment that we have seen in over a decade. We're supporting growth across the portfolio through investments in high value and high purity applications as well as in our differentiated nylon products. Collectively, sales of our differentiated product portfolio are expected to grow double-digits for the full year 2022, consistent with our longer-term performance. As a reminder, our differentiated products have historically earned gross margins that are roughly two times our company average. With the acquisition of US Amines now closed, we are efficiently integrating the business into our portfolio and expect the deal to be modestly accretive to earnings this year. Operationally, we continue our focus on safe, stable and sustainable performance, while driving less variability in utilization rates, which in turn, drives improved customer experience and higher returns for the business. In 2022, we continue to expect CapEx to be in the range of $95 million to $105 million, primarily reflecting timing of base CapEx for maintenance relative to 2021. We expect the pre-tax income impact of planned plant turnarounds to be in the range of $32 million to $37 million in 2022, with the larger of our Hopewell turnaround or about 80% of the full year impact scheduled for the third quarter. And lastly, we continue to expect our effective tax rate for the year to be approximately 25% and now anticipate cash pension contributions to be in the range of $5 million to $50 million compared to approximately $18 million in 2021. There are a number of tailwinds supporting robust earnings and cash flow in 2022, and we remain well-positioned to deliver sustainable performance and attractive returns over the long-term. Let's quickly turn to slide 10 to wrap-up before moving to Q&A. In summary, we believe that AdvanSix offers a compelling investment thesis over the short, medium and long-term. We remain focused on supporting our customers, while navigating the current market dynamics and the results this quarter reflect the resilience and strength of our execution and integrated business model as well as our leadership positions across our diverse product portfolio. We have demonstrated that we can perform in all environments and have built a solid track record. We are executing to a set of focused priorities, all of which are aligned to driving the critical measures that underpin achieving durable free cash flow yield and top quartile conversion, compelling returns on capital and an attractive total shareholder return. It is certainly an exciting time at AdvanSix for all of our key stakeholders. With that, Adam, let's move to Q&A.
Adam Kressel: Great. Thanks, Erin. Anthony, can you please open the line for questions?
Operator: Sure. We will now begin the question-and-answer session [Operator Instructions] Our first question will come from Charles Neivert with Piper Sandler. You may now go ahead.
Charles Neivert: Good morning, everyone. Just a couple of quick questions. One, the earnings drop-off from the chemical intermediates that occurred during the quarter versus a year ago, is that largely a lag in the price increase timing, meaning that it would might be recovered next quarter? Or is it just the business is a little less?
Michael Preston: Yes. So if you recall, Charles, we anticipated a moderation in acetone spreads. Really, we've been sort of messaging this for a number of quarters here. And as expected, we did see that moderation through the quarter, and that's what drove some of the decline in intermediates from a year-over-year perspective.
Charles Neivert: Okay. And then one other thing – two others, actually. One, with the late planting and the fact that, obviously, some of the deliveries have been -- haven't been made yet for the ammonium sulfate. How does -- is there any chance that there would be a different choice of nitrogen application versus the sulfate. I mean, in some cases, you have guys moving from ammonia to urea or UAN. Is that something that might affect ammonium sulfate in the quarter that because it's late they would go to a different nitrogen application?
Erin Kane: No. The way you should think about sort of the late planting season, a little bit different from ammonium sulfate, really around, I would say, timing of application, Charles. So as we see the seed starting going in I think it could lead itself to a larger sort of top dress application than earlier in the season. So for us, it's more around when the fertilizer goes down, than if right now.
Charles Neivert: Okay. It's not a matter of getting substituted out for a different nitrogen form because of the timing difference?
Erin Kane: Yes. Because again, we're providing that sulfur nutrient that is needed in addition to the nitrogen. So still see strong demand. It's really now around. We're well positioned into the warehouses and well positioned to the field. So now it's just being ready and for when the poll to the fields come.
Charles Neivert: Okay. And one last question is -- you moved a lot of products into the granular form. Is there something that you guys could spend more to get more granular going forward? Is that a worthwhile CapEx expenditure looking ahead to get maybe not a 100%, but maybe get up to 75%, 80%, 85% versus the current number?
Erin Kane: No, it's a terrific question, and it is part of our focus as we continue to refine that high-growth CapEx pipeline that -- yes, as you say, I think 100% is not something we would target for where our assets are structured, but certainly building out and continuing to push the roadmap towards higher conversion is part of our efforts going forward.
Charles Neivert: Okay. Well, thanks very much.
Erin Kane: Thank you.
Operator: Our next question will come from Vincent Anderson with Stifel. You may now go ahead.
Vincent Anderson: Thanks. A nice start to the year, pretty sure…
Erin Kane: Thanks, Vincent.
Vincent Anderson: Having earning nearly all of 2019's EBITDA in a single quarter, probably has Michael sleeping pretty well these days. Well, I figured I'd start with ammonium sulfate. I am just curious what your netbacks looks like, at least directionally for whatever share of 1Q volumes went to export compared to what that looked like in the US.
Erin Kane: So give us a second, we can kind of pull up. But as you know, our first half sales are always tilted to a higher percentage into North America. One is we're kind of staging, but I think Mike scrubbed the specific numbers that...
Michael Preston: Yeah. So for the quarter, if you're looking at the split of revenue between export and domestic, about 75% of the sales were in the US, and that's generally our overall split for ammonium sulfate, 25% export, 75% US.
Vincent Anderson: Okay. And your earnings on exports, is that starting to converge with kind of just the market prices that we follow in the US? Or has that lagged somewhat?
Erin Kane: Yeah. The best markers to look at for export are going to be keying off of where China is selling into Brazil, right? Certainly, they are a key player into that seaborne export trade for AS with significant share. So, on a standard basis or even a compacted granular, they tend to set a little bit more of the target there, and prices have moved up, but certainly not to the extent that we would see the high-value granular ammonium sulfate move up in North America.
Vincent Anderson: Okay. But trending in the right direction.
Michael Preston: Yes.
Erin Kane: Yes.
Vincent Anderson: Okay. All right. Excellent. So I'm trying to interpret your nylon versus capro revenues in the quarter. Did that divergence come more from flexing additional capro through Chesterfield? Or was there a significant increase in nylon beyond capro on the spread front.
Michael Preston: Yeah. I mean the short answer on that, Vincent, is yes. If you're looking year-over-year, we sold more merchant capital, and we were active in the export markets, more active than we were this year. With the recovery in North American demand, we did convert more of that capital to resin this year, and we met again, the robust demand here in the form of resin in North America and sold less capital. So it was more of a conversion of that capro into nylon, which reduced caprolactam revenue from a volume perspective and then it increased nylon. So that's -- and then we do get a mix benefit from doing that as well.
Erin Kane: And market pricing did move up substantively in the nylon space year-over-year and a little bit sequentially, but certainly on a year-over-year basis was up.
Vincent Anderson: Okay. Perfect. And then, if I could ask one more, just kind of digging into the capro cost curve, obviously, benzene is the contributor there that we all think about. But if we're looking at ammonia prices and even just ammonia availability in places like Europe and China, I'm wondering if you are starting to see any of that weighing on production just purely and being able to source the feedstock and as an extension of that, last quarter, we talked about you were still prioritizing your US market share. Are you starting to see a positive export margin opportunity developing, whether it's capital or nylon over whatever your lowest margin domestic sales provide?
Erin Kane: Yes. So, right now, given the healthy demand and I would say rather snug conditions on supply in North America, we do remain focused here and it is still the highest value region, we believe, on -- for where our focus should be. But to provide some color as you say, the raw material pricing as well as availability has impacted, I would say, global utilization, which, again, also contributes to further tightening available probably resin supplies mostly, right, that we have typically seen as standard trade coming into the US kind of be constrained. Just to give you kind of some color in March with mac recording sort of best operating rates in Europe, just under 50%. China has dropped to about 70%. So, while the US has stayed rather robust in the low 90s. So, certainly, a lot of regional dynamics happening here, which is really leading to a focus by most players in the region. Q - Okay, perfect. Thank you. I'll let it go.
Operator: Our next question will come from David Silver with C.L. King. You may now go ahead.
David Silver: Okay. Thanks. Good morning.
Erin Kane: Good morning.
Michael Preston: Good morning.
David Silver: Hey I'm just going to warn you, I was unable to listen to any of the prepared remarks. So, I'll apologize in advance of making you repeat yourself. If we could just start with -- I'm going to start with a couple of questions on inventories and raw materials. But looking at the inventory level, $163 million, I mean, it is up a little bit from the fourth quarter, but it's been higher in periods with much lower feedstock cost levels or finished product prices back half of 2020. And of course, there's U.S. Amines this time as well. So, how would you characterize your comfort level with the inventories heading into what is typically the peak selling season for a number of your products and especially fertilizer, please? Thanks.
Michael Preston: Yes, sure. Yes, I think one of the things, Dave, that you need to consider in the inventory balance going in, just to be clear, when you look at the absolute balance, we went from $150 million at the end of the fourth quarter of 2021 to $163 million at the end of the first quarter of 2022. And really, all of that increase was driven by the U.S. Amines acquisition. So, as that closed in the quarter, we added that inventory into our balance sheet. So, otherwise, the inventories were pretty flat, again, comparing to the fourth quarter of 2021. But what we saw from an inventory perspective in the first quarter is we were able to build ammonium sulfate inventories to be prepared and ready to meet these robust demand we anticipate, and we're seeing here in the second quarter. That was, again, more of a normal build in terms of seasonality. So we feel good about our inventory position there. And offsetting that was a bit of a decline in cumene inventory in the first quarter relative to the fourth quarter. Otherwise, when you look at the other finished goods inventory balances, we continue to optimize the different products, different SKUs in terms of where we're seeing the demand and working to make sure we have enough robust inventories to meet that demand, looking at the cycle times and lead times with respect to our customers and trying to make sure we're in a position to be the trusted partner to our customers and to deliver the supply that they need to meet that demand. So, we'll continue to optimize that going forward and again, try to be that trusted partner with our customers.
David Silver: Okay. I had a question about raw materials, and this is more maybe from procurement strategies in the current environment. But I mean, historically, Adam has been pretty good at reminding me that your number one cost is for cumene and second and third are natural gas and sulfur. And what I would say is, I mean, cumene tends to be more of a formula priced product where the others, I think, are more variable over shorter periods of time. So I'm just wondering, I mean, how does your overall raw material slate differ in terms of cost or share of the pie, let's say? And have you thought about -- and has that shift, let's say, away from cumene to the others? I mean, has that caused you to rethink or think differently about your strategies for procuring -- greater volatility, has the greater volatility, lower predictability changed your thinking about that? Thank you.
Michael Preston: Yes. I mean, look, we -- as you pointed out, cumene represents a majority of our direct material by approximately 75%. We have contracts with many, many suppliers for specific volumes that have embedded formula pricing based on markers for benzene and propylene. And so we have the continuity of supply. We have a supply chain that ensures we get all the cumene we need to be able to operate. And on the customer end of things, as you know, half of our business is on formula-based pricing, whereby we pass those raw materials through. And if you look at our results quarter-over-quarter-over-quarter, we clearly demonstrate that the business model in this environment with the volatility that we've seen and the impact and the volatility of raw materials, we can pass that through our formulas of working. And then for the agreements and the customers we do business with that, where we don't have formula contracts in place. We do a good job getting ahead of that and making sure we get those price increases in prior to -- or following those -- shortly following those increases in the raw materials. We work with a lot of suppliers with respect to natural gas and sulfur as well and feel very good about the supply we have and the continuity of supply there. So we really haven't had a significant change or a significant point of view change as a result of the volatility we've seen. It's more ensuring that the continuity of supply is there, working with our suppliers to ensure that they can meet their commitments. And then, again, continuing to reinforce our execution with respect to passing those raw materials through to our customers.
David Silver: Okay. Great. The next question, and I was just flipping through the slide deck, and I think this next question relates to your slides 8 and 9. But it has to do with your thinking about the Ag cycle. So one or more of your fertilizer industry peers during their conference calls, they've started to highlight what they believe is going to be a multiyear period of global grain tightness, unusual tightness that's going to require multiple growing -- global growing seasons to address. And my impression, and I could be a little off, but my impression is fertilizer gets tight from time to time, but it's typically just a one-season thing. But I look at Russia-Ukraine and some other things, and I -- and the comments from some of the fertilizer industry executives. And I do wonder, from your perspective, is this such an unusual period? Or is anything unusual about this period that makes you think that the good times could roll on for a little bit longer than has been the case in the past? Could this be a two-plus year run of extremely good fertilizer demand and pricing relative to what, I guess, Erin, you've seen over your 20 or more years managing these businesses. Anything jump out at you about the current either grain or fertilizer environment that makes you think we're -- we could have an extended period of well-above historical norms in terms of pricing and demand?
Erin Kane: Yeah. Certainly happy to recap some of our remarks there for you, David. And I think that, as you've heard from others, we too would agree that there are a constructive set of fundamentals that have aligned here. One, even as we were articulating coming into the year, there are already strong underlying, I would say, demand fundamentals when you look at the Ag fundamentals relative to crop stock-to-use ratios, grain inventories have been declining over the last couple of years even with a series of years with record yields, in many cases, Ag is secular, right? There's a growing population in the world. There are more -- we need more food production that is efficient use of variable land, which lends itself to good fertilization and demand of fertilizers as well as the other technologies that are brought to bear through -- throughout chemicals and other things. But when you look at the factors that are playing out right now, you still see those trending favorably. One, when you look at future crop prices, which again are an indicator of, again, that crop supply/demand or those grain supply/demands. You've got a number of things that have doubled in the last nine months. Corn futures at $8 a bushel, cotton prices, we mentioned at $1.50 a pound to name a few. And even with that, there's been concern of pharma profitability was moving in a positive direction through last year. It still remains in a positive territory, even with sharp increases. So you've got -- the future is driven with a restabilization of global stocks, which are down. And then you look at the energy environment, which was increasing already, but certainly has been exacerbated. But now you've got a supply constrained set of situations associated with fertilizer availability. You've got energy in Europe that's constrained production, coupled as you have pointed out on the Russia-Ukraine crisis, which is also impacting grain flows, right? So you've got Russia as the number one exporter of wheat. The Ukraine's a top exporter of a number of key crops as well. They also are key contributors into the fertilizer space. Russia is certainly with ammonia and AN [ph]. Brazil is heavily dependent for about 25% of their supply historically out of Russia. So there were already good fundamentals coming into play. Certainly, there is a set of considerations that could be seen as temporal. But again, those disruptions of supply demand are impacting probably not just this season. But I think when you just point to growing population, there is a secular growth. And we -- again, if you just look at history, five years of great yields, five years of declining global stock-to-use ratios, things are aligning couple them with the elevated energy environment for a time period here, which is beyond just sort of what's happening at the current down time. So we would say for all those fundamentals really aligning the way that they are, are constructively supportive for not just the season, but for -- we don't have a crystal ball to call for how long, but it's certainly than what is being experienced at currently.
Q – David Silver: Okay. Great. Thanks for that -- all that color. I appreciate it.
A – Erin Kane: Of course
Operator: Our final question will come from Vincent Anderson with Stifel. You may now go ahead.
Q – Vincent Anderson: Yes. Thanks. I just had a couple of, hopefully, very quick follow-ups. You covered acetone very thoroughly, but I did find it notable that like just very recently, we saw the small, medium buyer prices certainly expand over at least for propylene was that minute. Do you -- is that what you are seeing? Or do you think that might have just been short term, as the market absorbed returning M&A demand? I just -- I'm curious if you see anything that can help support those spreads at least sequentially.
A – Erin Kane: Yes. I think it is maybe to build off of Mike's comment earlier, we did come into the year recognizing that acetone over propylene spreads in total, would be a headwind for us. We expected the supply-demand environment and the pricing environment to rebalance, and we expected it to rebalance at a healthy level, sort of the higher end of the long-term range relative to what we had seen. As you -- as we pointed out, we certainly saw a pinch, right, in the small, medium buyer market on top of the large buyer. A number of factors there. Certainly, the -- we saw a propylene spike, right? So in that freely negotiated environment, you do have a lag that spike came late, and so that contributed to it. And obviously, price increases that have followed will allow us to allow prices going forward to better track and catch up. We do believe the small, medium buyer market should earn a spread over a large buyer, right? This is an area where we drive a cost to serve associated with truck volumes. We have a distribution network of terminals that we have continued to grow throughout the U.S. to service this space. So there should be an earned premium. And as I mentioned too, we also had a situation where the two large MMA players had turnarounds in Q1, which also had the impact of a few more molecules available as well into the space. So those things are writing itself. I think April is seeing that turn as we put on the chart, and we are heading into now sort of the mid of the quarter, working to restabilize the appropriate premium over the large buyer.
Q – Vincent Anderson: Okay. Perfect. So it's an improvement over the first quarter, but it's still in line with your expectations for the year?
Erin Kane: Improvement over what you saw in March, right in that in…
Q – Vincent Anderson: All right.
Erin Kane: Moving up and yes. I think our overall expectations still hold from where we -- what we indicated we thought would be for 2022 still sort of hold for full year. Things will moderate, but we'll stay at the higher end of the long-term range.
Q – Vincent Anderson: Got it. Last one, I promise, on turnaround strategy. I was looking at the history of those from a timing perspective, but also some of the seasonal implications for competitor asset reliability. And maybe this year, again, if Europe goes on gas allocation, a third quarter turnaround versus the fourth quarter turnaround seems like it could be quite advantageous even if it's outside of your control if it pays off or not. Is that at all part of your thought process? And I know the turnarounds happen every year, but do you have enough flexibility to keep your turnaround -- your major turnarounds earlier in the year to keep your plant available during the quarters where we've most often seen production disruptions at your competitors?
Erin Kane: Yes. It's a great question, and I know that certainly, if these things are highly predictable, we could do them at the same time. We eliminate sequential considerations and all the above. At the end relative to strategy, we are again, formulating our approach on a multi-year basis. If the -- we've got a combination of things that have to be driven by code inspection, permits as well as the integration across a set of assets that have to be coordinated and at least, but not I'd say, last but not least periods, the notion of the safe execution of turnarounds as well. For instance, we don't want folks in rubber suits in the heat of the summer. We try to stay out of second quarter, because we're approaching our -- and handling our peak seasons and ammonium sulfate. So there are a number of factors that come into play in how they are timed year-on-year. And as you say, and also availability of labor and contractors, right? We've mentioned before, we typically double if not triple it, sometimes the amount of folks on the site. So we've got to manage relative to where a crews for our vendors and our contractors and our partners also have other work to be done. So I know it would always be loved to align, we take as many factors into consideration. But our primary focus is always getting the safe and fullest execution and start-ups and getting the right work done during those times. But points well taken, and we continue to focus on this and to get more efficient and I appreciate that there's always trying -- ways to triangulate how we should think about that timing.
Vincent Anderson: Fair enough. I figured it might be a gross oversimplification. So I appreciate the reminder on how hard this actually is.
Erin Kane: Yeah.
Vincent Anderson: That's all from me. Thanks a lot.
Michael Preston: Thanks, Vincent.
Erin Kane: Thanks, Vincent.
Operator: That completes the question-and-answer session. I would like to turn the conference back over to Erin Kane for any closing remarks.
Erin Kane: Terrific. Thank you all again for your time and interest this morning. We delivered terrific results in the first quarter of the year and are hopeful you share our excitement about the opportunities that lie ahead. We are focused on driving best possible outcomes for our business in the current set of industry conditions and remain confident in our ability to create long-term and sustainable shareholder value. So with that, we look forward to speaking with you again next quarter. Stay safe and be well.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.